Operator: Greetings. Welcome to the XPEL, Inc. Fourth Quarter and Year End 2023 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I’ll now turn the conference over to your host, John Nesbett with IMS. Sir, the floor is yours.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL's fourth quarter and 2023 year end financial results. On the call today, Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer, will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we'll take questions from our call participants. A transcript of this call will be available on the company's website after the call. I'll take a moment to read the safe harbor statement. During the course of this call, we'll make certain forward-looking statements regarding XPEL, Inc. and its business, which may include, but are not limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Such statements are based on current expectations and assumptions, which are subject to known and unknown risk factors and uncertainties that could cause actual results to materially different from those expressed in these statements. Some of these factors are discussed in detail in our most recent Form 10-K, including under the Item 1A Risk Factors filed with the SEC. XPEL undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. Okay. With that, I'll now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thank you, John, and good morning from me as well. Welcome to the fourth quarter and yearend call. Overall, 2023, another solid year for us, revenue grew 22.3%, net income 27.6%, and EBITDA 25.6%. We closed the year with a strong fourth quarter, revenue growing 34.5% to $105.5 million, net income growing 43.2%, and EBITDA growing 33.6%. So a good end of the year. Our US region had a good quarter with revenue growing 16.8% to $55.6 million. Our dealership business continued to be a bright spot for us as car counts have increased and new car inventories have been returning. We'll likely see the preload component of our business to slow modestly, as inventories catch up with their pre-2020 levels, probably over the first half of this year, since preload attachment happens as the vehicles are delivered or sit on the lot. However, we'll continue to grow with new dealerships, and we've been quite successful at adding content per vehicle and expected that will continue as well. I think there is no question now that the aftermarket has slowed over the past nine months from its peak that we've seen. But our view remains that as long as consumers are buying cars, particularly in the enthusiast segment that is well served by the aftermarket, that they will continue to make the decision to buy our products as well. Growth in the aftermarket is driven by net new customers for us, as in new shops, new points of installation, or competitive conversions, and by growth of our existing customers. In our larger markets like the US, growth from existing customers constitutes a larger percentage of growth than in the smaller or more developing markets. And in order for the existing customers to grow, they need to invest in their businesses. They need to hire more employees, expand facilities, et cetera. So if a change in sentiment impacts their decision to do that, that can impact growth rates, even absent a macro change in the aftermarket channel. So our job is to do everything we can to encourage and help the customers make those investment decisions that will enable them to continue to grow. And so this is for us, focus on giving them better tools, better software like with what we are doing with DAP, training to encourage them to invest in more labor, things like payment systems to make dealership work more attractive, and then obviously marketing to drive more demand. So those are all the things we are focused on to continue to support that channel. And really, where we see that phenomenon, the most is in the US because it is our most developed aftermarket country in the world, alongside Canada probably. China region experienced a record quarter in Q4. Revenue was $16.6 million. This was $3 million higher than our previous high for sales into the country in Q4 of 2019. As we discussed last quarter, we did expect China to have a strong fourth quarter, but this result was ultimately higher than we expected, again, just based on timing of deliveries and sell-in versus sell-through ultimately. We are still in the early days of our direct presence in China, which we set up at the end of last year, and the resulting changes in our strategy and go-to-market that will occur there. So this was a great quarter. It really doesn't represent impact from what we are planning to do there. This is more kind of the continued dynamic with how we have been operating with the sell-in and sell-through. So we've still yet to implement all the changes that we anticipate doing. So we'll see continued choppiness in China as we do that. It's still in Q1 where we had record products sold in Q4. Q1 is typically the lowest quarter for China, so our expectation for China in Q1 is it will be quite low and less than Q1 of 2023, and coming off of that really high Q4 number. So continued noise there for a while. We've done a lot of work on the ground with our team that we haven't been able to do in the past three years, and confirmed our brand position in China is very strong. We've known that, but been able to confirm it firsthand. And now the objective is to ensure that our share of wallet matches the share of mine relative to our brand for this product line in China, and that is our top priority for the market for this year. Outside of the US and China, we saw solid growth in our other regions. One particular note to call out would be in the Middle East where we grew 100% over the prior year. This is largely a distribution market, not entirely, but largely. So it does have lower margins, and we felt that in the margin performance alongside China this quarter. But we are really executing well, and it is a market we have spent a lot of time working on. We have been focused on evolving our go-to-market there over the past 12 to 18 months, seeking the right mix of direct business versus distribution business. I think we are really making good progress. And we will be managing the region from our operation that we have begun to establish at the end of last year in India with the help of our executive on our team who relocated from Texas. So this is another way that we can be true to our strategy of getting close to the customer. And we are already seeing benefits of that and expect that that will continue. Our expectation in Q1 2024 is revenue to be in the $93 million to $96 million range. This assumes a low quarter for China given Q4 as we talked about, and then uncertainty as to the timing of some of these other distribution orders. And like we talked about last year, we are targeting 15% revenue growth for the year. The downside risk is obviously interest rates impacting car sales at some point, or accessory affordability. Thus far, car sales have done quite well, so we've got to really see that. And as I mentioned, downside risk would be reduced investment in growing the businesses by our aftermarket customers. On the other hand, China growth, the modifications to our strategy, our plans for the Middle East extending into India, potential positive movement on the interest rate side in terms of vehicle affordability and continued acceleration of attachment rates, along with some large customer wins that we are pursuing, which are quite unusual for us. These all create upside potential for the year, above that 15%, as does our inorganic activity in terms of M&A, which we will keep pursuing and expect to grow this year. Gross margin for the quarter came in at 38.8% compared to 39.6% in the fourth quarter last year. So as we discussed, we've been targeting exit the year last year at or near 42%. It really may get progress on that, a couple hiccups along the way. And then really for Q4, where we've got these really high distribution sales for China and the Middle East, we felt that. And the product mix within those distribution sales was probably unfavorable to margin. We've got a number of products we sell in China as an example that have varying margin profiles. So we felt that there. Our expectation is to be back up in the 40% plus for Q1, and then throughout next year. I was happy with the performance in aggregate, even though it was a little bit choppy as I mentioned. So we grew gross margin by 160 basis points. We will build on that. And we still believe that we'll gradually increase our gross margin going forward kind of ignoring the choppiness of the distribution business, we have room to continue to improve that overall profile like we've been talking about. As we look out this year, we are really focused on reducing our days on hand inventory. Obviously, we've had a lot of discussion about this over the past quarters, and this is as we intended to do last year before we were thrown off track in the summer as we previously discussed. So managing this and optimizing our free cash flow conversion is a top priority. Barry will talk about that a little bit more here in a minute. And then secondly, we've significantly increased our SG&A expense really over the past three years. Some of this will begin to lapse such as the introduction of more equity compensation across our team starting three to four years ago. Obviously, we've been looking to replicate over the long haul what our high -inside ownership has done for us in the past. But we've also grown our corporate team substantially with the focus on R&D, quality team manufacturing, and our product team over this time. And we expect those to continue to grow, but the rate will moderate going forward. We've made large investments in the percentage rate growth for all of those types of headcounts adds have been really high. Our sales and account management and some of the operations will grow more in line with revenue. Whereas we would expect what I just mentioned to grow much lower than revenue. And then outside of that, there are two areas that we really want to continue to grow in an outsized manner at a rate potentially greater than we would grow revenue over time. And that's really our marketing and our DAP team. Marketing specifically, we want to see an increase on a percent of sales basis. When we look at marketing excluding sales as opposed to sales and marketing together, we are just now kind of approaching 3% of revenue to marketing. And we would like to see that expand going forward on a percent of revenue basis, and fund that by our increasing gross margin, and then also more leverage on the other SG&A line items that won't be growing at that rate. And then related to that in terms of our prioritization, expanding our DAP team, this is critical. This is becoming a platform that crosses every part of our business. And we want it to be a force multiplier for our customers to help them grow their business and have it been a reason that they feel confident to grow their business. So in short, our incremental SG&A run rate continues, but we will see these incremental adds from our past trend to moderate as we go forward. And this will help us drive further operating performance in the coming years. A couple of business updates. As we mentioned, we close on three acquisitions in the fourth quarter. And then we actually did a very small acquisition last month in January. As we discussed on our last call for the end of the year, one was a chain of six installation locations in Canada. We had a business base in Europe serving some OEM manufacturers. And then this year in Q1, we did another small acquisition in Australia to add to our growing business. They are really insignificant revenue, but it adds capability for that operation that has been performing very nicely since we acquired our distributor. So all those acquisitions address the strategic objectives relative to the size, the complexity of doing those deals probably high relative to their size and the transaction costs are high. But they are all done to really play to a strategy that we are executing rather than just as a means to try and grow revenue or roll up something that roll up the customer base. That's really not the objective of any of those. We see good opportunities to put the cash to work. As we talked about, we expect more international distribution acquisitions this year. And this is typically folks that are distributing our product in country somewhere else in the world where we see an opportunity to acquire them and invest in that operation. Generally we are improving margins. Sometimes we are reducing sales price to the end customer, but ultimately growing faster in those markets. So we see opportunity for that this year. These have generally been the highest ROI acquisitions we've done, but they are just limited in terms of how many candidates there are because buying distribution of a competitive product is not a great strategy. So they are sort of limited to our captive customers as we pursue that. So we will continue with the smaller acquisitions. We are also looking at some larger acquisitions, larger for us in a relative sense, $25 million to $50 million plus purchase price. These could have more significant impact on the business, bring on new markets, or capability, or scale. So even though our average acquisition size has been quite a bit smaller, we are very much open to incrementally larger acquisitions. And these would have an impact on the business, but they don't change who we are. They are not transformative in a sense that it turns us into something we don't want to be, but very active on that. Our DAPNext which is the newest version of our DAP platform, this has really progressed. I think we are at 99.9% of customers using the new software. The evolution here really focuses on our customers' businesses and making them more efficient. The initial incremental feature set is around managing leads and optimizing the business that we send to the customers, working on technician commissions, how do you pay your staff? This is a huge driver of making these businesses scalable is a labor model that can do that and a compensation model to go with it. So those are the things that are very active now. We continue to receive a lot of great feedback on what we are doing there. We have our dealer conference starting tomorrow and Friday and Saturday here in San Antonio. We've got a great turnout; I think 500 plus customers attending. We hold the event every year. You may recall we held it in April last year. So it's great. We have high interest despite sort of not even a year between conferences. We sort of prefer this February timeline, but couldn't do it last year for some reason. We've got a number of new product introductions that we'll be releasing at the conference. And then the bulk of the content is really focused though on showing our customers how they can grow their business. And that's in new markets like Marine, which we've been getting good traction in, and then obviously in dealerships where we want to encourage all of our customers in the aftermarket to do more work for dealerships. We think that's important. And to reinforce to the customers that we want them to invest in their businesses. We want them to grow. And when they do that, we win. I like the conference because we really get the voice of the customer. And our team knows that they need to leave the event with lists of items on how we can be better. And there's really no better way to do that than talk to people face-to-face to get that, especially when you've got folks from different functional areas who are able to interact with customers that don't normally have as many day-to-day customer interactions. So that's super important. I know that we get as much out of the conference as our customers do, even though we do it for them. We get tremendous value out of it. So really looking forward to that. And finally, just a little bit of housekeeping, and I'll turn it over to Barry. We did change, a slight change in our earnings cadence today. So consistent with past, we'll file, we plan to file our 10-K next week, which is in line with when we normally file. We released earnings in advance of that this week, because I'll be traveling in Asia, and it wouldn't be practical to have the call, and I wanted to make sure that I could be here. I also want to thank our team for the efforts this year. It's been really busy. We've accomplished a lot. We've restructured big parts of the company, both from an operations standpoint, and then from a global business standpoint. That's been a lot of work, and a lot of change, but it's really set us up well for going forward. So I want to thank everybody internally for that. So with that, we'll turn it over to Barry. Barry, take it away.
Barry Wood : Thanks, Ryan, and good morning, everyone. Just a couple more comments on revenue. If you look at the product lines, combined paint protection film and cutbank revenue grew 32.4% in the quarter, and this increase was primarily due to increase in product sales in pretty much all of our regions, and particularly in China. Our total window film product line revenue grew 19.2% quarter- over-quarter, to $14 million, which represented 13.2% of our revenue. And this was down sequentially, primarily due to seasonality. Revenue for the Vision product line grew 141% to $2.8 million, which represented approximately 2.6% of our overall revenue. Our OEM business continued to have strong performance with revenue growing a little over 74% versus Q4 2022 to $4.7 million and this was up sequentially a little over 20% quarter-over-quarter versus Q3 ‘23 although Q3 did have some factory holiday shutdowns but still this was a solid performance. Our Fusion Ceramic coating product line which is included in our other revenue line grew 50% for the quarter to $1.7 million and represented 1.7% of total revenue for the quarter and our total installation revenue combining product and service grew 45.7% in the quarter and represented 18.8% of total revenue and this increase was due mainly to really solid performance across all of our installation services portfolio but certainly led by our dealership services business. On the SG&A front, our Q4 SG&A expense grew 32.2% to $26.7 million and represented 25.7% of total revenue. Sequentially SG&A increased about 12% and included in our Q4 SG&A expense is approximately $1.2 million in expenses associated with our Q4 acquisitions and approximately $0.8 million in costs associated with SEMA, which is our largest marketing event of the year after our dealer conference and this cost occurs annually every year in Q4. And as Ryan mentioned our annual dealer conference will occur this weekend while last year the conference was held in April. And so last year's conference did cost us about $1.5 million in net costs so we'll certainly be quantifying the impact of this year's conference in our Q1 call. EBITDA for the quarter grew 33.6% to $17.7 million reflecting an EBITDA margin of 16.7%. On an annual basis EBITDA grew 25.6% to $76.9 million, which is an EBITDA margin of 19.4%, so good result there. Net income for the quarter grew 43.2% to $12.0 million reflecting net income margin of 11.3%. EPS for the quarter was $0.43 per share and net income for the year grew 27.6% to $52.8 million reflecting the net income margin of 13.3%. EPS for the year was $1.91 per share. And as Ryan alluded to and we discussed in our last call our inventory levels remain elevated in Q4 and our days on hand increased just right around where we expected and we're currently forecasting Q1 days on hand to decrease from Q4 and our inventory levels to be relatively consistent with Q4. We're also forecasting our days on hand to improve substantially beginning in Q2 and end the year in the 120 to 125 range, and I think we have a solid plan to get there. And as we continue to work our days on hand downward, we expect to generate substantial free cash flow, which will be used to pay down any existing debt and fund our acquisitions. Cash flow used in ops was $1.1 million for the quarter, and this use of cash was due primarily to our forecasted increase in inventory levels for the reasons we've talked about, both on this call and previous calls. We did see a slight degradation in our cash conversion cycle due to this increase in inventory in the quarter, but this, we expect this will ride itself as we progress on reducing our days on hand. We also spent approximately $14 million on acquisitions during the quarter and we drew down $19 million on our credit facility which was primarily used to fund those acquisitions. And on a year-to-date basis, our cash flow provided by operations totaled $37.4 million. And finally, our Q4 effective tax rate was lower than our run rate due primarily to some changes that occurred in statutory rates and some of our international operations and return to provision through-ups which we always book in the fourth quarter. So that's the reason the rate was a little bit lower than our run rate. But for planning purposes, you can assume a 20% effective tax rate for 2024. So again, a good quarter and year for us overall and we remain financially well positioned to execute on what we need and want to do in 2024. And with that operator, we'll now open the call up for questions.
Operator: [Operator Instructions] Your first question for today is coming from Steve Dyer with Craig Hallum.
Steve Dyer: Thanks. Good morning, guys. Thanks for taking my question. Early on, Ryan, when you were talking about sort of upside possibilities or areas for potential upside this year, I think you alluded to or you said something about a potential large customer win or large customer wins. Can you sort of help us think about what that might look like, or not specifics obviously if you don't want to, but just sort of what area of the business, what kind of business?
Ryan Pape: Yes, sure, Steve. I think when you look at our makeup of customers, particularly in the aftermarket, they tend to be quite small. I mean you could have between $50, 000 and $200, 000 of annual revenue is a common sort of distribution. When we look at sort of the overall global portfolio of customers, we just have more larger opportunities that are possible than we've seen. These could be larger groups or other networks of customers where a $5 million account or a $5 million to $10 million account is possible. And that's relatively unusual for us. We have some customers like that already, but for whatever reason across the global footprint we've got a few of those opportunities sort of possible and pending. So that's a little bit different for us which I think is a good thing, but more unusual.
Steve Dyer: Got it, thank you. Could you talk a little bit, I didn't hear you mention much about OEM business. Can you kind of remind us again how many you have and how you sort of see that playing out throughout the year?
Ryan Pape: Yes, no, the OEM business was strong. I think I didn't mention it specifically. I know Barry called out the growth. I think it was quite substantial year-over-year growth. The business has been good. What we continue to see is interest in additional programs. The account of OEMs that we are doing something with has grown. It's under 10, but it's certainly growing in different kinds of programs. So we see both new programs with new folks that we have not worked with before, and then also the possibility of growth of the existing program to say, okay, if we've had success with one platform or with a certain number of vehicles, can we grow that? So I think it's a positive story there pretty much all the way around. We're at their mercy in some sense in terms of their production and the unit volumes that they can generate. So there's a little bit different dynamic there with that business of scale, but we continue to see new accounts, new growth, new platforms, and then growth of the existing. I think that was reflected in that Q4 growth and expect to see more of that this year.
Steve Dyer: Great. You mentioned a little bit some potential inorganic opportunities, maybe larger ones than you've typically looked at. In terms of funding now, what is that likely to look at -- look like? Are you sort of comfortable with your credit limits and sort of debt facilities and so forth? Would you look to essentially raise equity? Would you buy in stock? What are some ways to think about that?
Ryan Pape: Yes, I think that our overall position has really been very conservative for a number of years in terms of our net debt and total leverage, which has basically been zero. So I think our primary use or primary way to fund those acquisitions would be just through borrowing that way. We're not opposed to that debt and think a lot of these things pencil out. We do expect to generate a lot more cash flow this year, as Barry mentioned. So that's obviously an option. In some of the opportunities we have, there's a possibility of seller financing as well with the profile of people we look at. So that's something you have to look at on a case-by-case basis. And then I think really for us the question on the equity side would be more, is equity a tool to gain alignment with the sellers in terms of the type of performance we want to see post-acquisition? I think that's kind of where we see the potential use of equity more than is a necessity to fund that way. Can we better achieve our objectives, particularly if we are looking at any larger acquisitions that may be less traditional for us and that they can sort of function a little bit more independently? That would be another tool to create alignment with the sellers assuming they are around. But I think absent that you are going to see us look at more borrowing and seller financing, and then cash from ops.
Operator: Your next question for today is from Jeff Van Sinderen with B. Riley.
Jeff Sinderen: All right. Good morning, everyone. Maybe if we could just circle back to China for a minute regarding the outlook there. If you could speak more about some of the changes that you're still working on in China.
Ryan Pape: Sure, Jeff, yes, I think when we look at our view of the China market today, you really have multiple product lines and multiple price points in the country in a way that we really don't see elsewhere. And I think that the opportunity for us is to evolve our go-to-market to have products at more of those price points, and ensure that we can have all the product we need in country, that there's no constraints on inventory availability, and that we can work or partner with our distributor to ensure that we can address the entirety of the market. And I think that the reality for us now is that we're addressing the most bespoke part of the market. And that's great for our brand positioning, but it's not great for our share wallet, as I mentioned. And I think we have the opportunity to maintain that brand positioning while taking more share. And there's a number of strategies we can use to do that that we're working on in conjunction with the team that we've built in China and are building, and then with our distribution partners there. So I think it's a little bit premature to say that exactly what that has been finalized, but I think we have a good sense of what we want to accomplish. And now it's just a matter of exactly how do we do that. The net result as we are successful in doing that is selling more. That's how we'll measure our effectiveness and how we have a job we've done.
Jeff Sinderen: Right, okay. And then since you mentioned it as a focus, maybe you could just touch more on what you are seeing in the rate of onboarding new dealers overall, and then more specifically onboarding new car dealers, and maybe just kind of how you are approaching that going forward, or any changes to that.
Ryan Pape: No, there's really no changes to the approach or the strategy. The aftermarket has a channel management that's different than the dealership business. I mean there are elements of dealership business that we could serve directly that a lot of our customers don't want to do. And so in many respects, every dealership in the world should be selling our products one way or the other. They could internalize it and do it themselves. They can work with one of our installers in the aftermarket or in other cases, we can do the work for them. So from the dealership standpoint, the selling proposition and what's out there is very clear. Now the difference is dealerships tend to have a longer selling cycle. It's a little bit more involved sale. And then once you're in the dealership, their unit volume is more or less fixed. Where a customer in the aftermarket could grow their business 100% in a year, if they were so motivated, the dealership for the most part is not going to grow their unit volume 100%. That's just not possible. So you have a fixed unit volume with the dealerships, but you have a big variable in terms of sort of the ASP and how much content can you get. And then sort of in contrast in the aftermarket, we can't serve every customer in the aftermarket and maintain our brand positioning, but we could be the best partner for those that want to grow the most. So they're really two completely different approaches to the market. They're complementary, but aside from focusing on both of them in their own way, I would say no change in our strategy. I think you continue to see new customers on in the aftermarket. I think the only thing that we probably see now that started midway last year is that you're seeing in aggregate lower growth year-over-year within the aftermarket channel than maybe we saw the previous year. But that really doesn't have much to do with the rate at which we would onboard net new customers.
Jeff Sinderen: Okay, that's helpful. And then maybe finally, if you could just touch on new product introductions, anything you could tell us there?
Ryan Pape: I think we're broadening the offering, and also going deeper in what we have. I don't want to steal any of the team's thunder for what they'll be releasing to our customers at the dealer conference, but I think incrementally some net new products, and then going deeper, more options and more depth within the things we're already doing. Selling more to your existing customers across all channels is probably one of the best-selling strategies. If you can make your customers more effective and sell more, you get more leverage on those relationships. So to the extent that we can broaden our product offering to be even more of a complete supplier to more of our customers, that's something that we want to do, and that's part of what we're working on, and probably part of what we'll be releasing to our customers this weekend.
Operator: Your next question is a follow-up question from Steve Dyer.
Steve Dyer: Thanks. Just a quick follow-up. You gave a lot of puts and takes on the various operating expense lines. Big picture is kind of this $26 million, $27 million run rate, sort of a good level to kind of grow off of, or I kind of got mixed up with all the one-timers and so forth, but how should we generally think about that going forward?
Ryan Pape: Yes, I think, to Barry's comments on that, we're talking, I think, in Q4, he was really referring to more the incremental SG&A inherited by the acquisitions we did versus sort of one-timers. I mean, yes, there's optimization to be done there, and there's one -timers embedded in that, but I think that comment was more about sort of the permanently embedded SG&A. So I think if you ignore kind of the two big seasonal hits that we have being the dealer conference and then the big trade show in Q4, what we would be looking for is kind of, yes, the run rate SG&A, but then the growth of that moderating as we move forward from where we've been in the past.
Operator: We have reached the end of the question and answer session. And I will now turn the call over to management for closing remarks.
Ryan Pape: I'd like to thank everyone for attending today and really thank our team. We've got a huge presence in our headquarters today from around the world for our customer conference, dealer conference this weekend, and it's going to be amazing. And thank them all for being here and all their hard work. And look forward to speaking with everyone again next quarter. Thank you.
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.